Operator: Good morning or good afternoon all, and welcome to Avangrid's First Quarter 2023 Earnings Conference Call. [Operator Instructions] I'll now turn the call over to Alvaro Ortega, Vice President of Finance, Investor Relations and Treasury. Over to you.
Alvaro Ortega: Thank you, Adam, and good morning to everyone. Thank you for joining us today to discuss Avangrid's first quarter 2023 earnings results. presenting on the call today are Pedro Azagra, our Chief Executive Officer; and Patricia Cosgel, our Chief Financial Officer. Also join us today for the question-and-answer part of the call will be Catherine Stempien, President and Chief Executive Officer of Avangrid Networks; and Jose Antonio Miranda, Chief Executive Officer and President of Avangrid Renewables. Other members of the executive team are also joining us today and may be called upon to assist with the Q&A part of the call. If you do not have a copy of our press release or presentation for today's call, they are available on our website at avangrid.com. During today's call, we will make various forward-looking statements within the meaning of the safe harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995 based on current expectations and assumptions which are subject to risks and uncertainties.  Actual results could differ materially from our forward-looking statements if any of our key assumptions are incorrect or because of other factors discussed in Avangrid's earnings news release, in the comments made during this conference call, in the Risk Factors section of the accompanying presentation or in our latest reports and filings with the Securities and Exchange Commission, each of which can be found on our website, avangrid.com. We do not undertake any duty to update any forward-looking statements. Today's presentation also includes references to non-GAAP financial measures. You should refer to the information contained in the slides accompanying today's presentation for definitional information and reconciliations of non-GAAP financial measures to the closest GAAP financial measures. I will now turn the call over to Pedro.
Pedro Azagra: Thank you, Alvaro, and good morning, everyone. Thank you for joining us today for our first quarter results presentation. Let's get started on Slide 5. Overall, Avangrid had a solid start for the year with many important operational achievements, and our team remains highly focused on the successful delivery of our strategic initiatives. For the first quarter, our earnings per share and adjusted earnings per share were $0.63 and $0.64 per share, respectively. On a year-over-year basis, the comparison is driven by the absence of the $0.40 offshore wind restructuring gain recorded in the first quarter of last year. Most importantly, we are taking meaningful steps forward on the strategic initiatives that will drive future growth across both businesses. In Networks, we are punching on our rate cases in New York, Maine and Connecticut, and we continue to anticipate having new rates in effect across all jurisdictions this year. In addition, in February, we received approval from the New York Public Service Commission for our CLCPA Phase II portfolio, a $2.25 billion investment that will reduce grid congestion, create a pathway for nearly 2 gigawatt of renewable energy resources and play an integral role in achieving new York’s nation-leading climate goals. Together with CLCPA Phase 1, the transmission investment opportunities in New York beyond 2025 will reach over $3 billion. For our New England Clean Energy Connect Project, the jury trial in Maine's Business and Consumer Court concluded last week and unanimously found that the project can legally proceed. This is another major success for NECEC following positive rulings over the last months from the Maine low court and FERC. We're also progressing on PNM Resources merger and in recent weeks, we have taken several key steps forward. Last month, Avangrid, PNM Resources and the New Mexico Public Regulation Commission filed a joint motion with the new Supreme Court in New Mexico to dismiss the merger appeal and remand the case back to the PRC. Additionally, we extended our merger agreement through July 20, reinforcing our continued commitment to PNM as we work through the legal and regulatory review process. In Renewables, we signed or renegotiated PPAs for 524 MW of solar capacity projects and commissioned 205 MW in Oregon. Additionally, we are advancing the construction of approximately 1 gigawatt of new onshore capacity for COD over the next two years. Construction on our Binger Wind one offshore project is progressing as planned, keeping the project on track to deliver its first power later this year and reach full commercial operations next year. We expect to install the first monopile during the second quarter, which will mark a major milestone for the construction works. Throughout the year, we will continue working to close these core initiatives which create a strong value proposition for Avangrid and positions us well to deliver on our annual obligations and estimations. Slide 6 illustrates one of our most essential priorities: developing trust and collaboration with our key stakeholders as well as accomplishments and constructive outcomes that have resulted from our efforts. As discussed on the previous slide, during the first quarter, we delivered several significant accomplishments, including the positive court ruling on NECEC and progress from our PNM Resources merger. We have resumed collections in mid-April, while continuously advocating on behalf of our customers to reduce bill impacts in response to the pandemic and supply cost challenges. In addition to over $50 million in our system secured in 2022, this year, New York approved the second phase of its utility assistance program, which provides another $34 million to NECEC and RG&E customers to help reduce substantial arrears that accumulated during and after the pandemic. On the Renewables side of the business, we are engaging with officials and regulators in New England on the solutions needed to ensure a healthy and competitive offshore wind market and economically viable projects. Last week, we announced a new partnership with Navajo Tribal Utility Authority to explore opportunities to develop up to 1 gigawatt of renewable energy projects including wind, solar and storage within the Navajo Nation in New Mexico and Arizona. This partnership is a great example of how the IRA is unlocking innovative investment opportunities and how we are committed to engaging our communities in the transition by delivering jobs and fostering economic growth and development. Additionally, we have fully funded the tax equity for our 194-megawatt Lund Hill Solar project and our focus on maintaining solid credit ratings. Recently, Fitch affirmed its rating for Avangrid and improved its outlook to stable. We look forward to seeing more green check marks on this slide in the months to come. Our focus on engagement and strong relationship building will continue to be essential. As we work towards successful conclusions for our rate cases, New England offshore wind projects, NECEC and PNM Resources merger, we are encouraged by the strong coalitions of support we have already built, which includes businesses and labor groups, environmental organizations, both policy leaders and others. Let's turn now to our Networks business on Slide 7. Across the business, we are focused on providing safe, reliable and affordable service and investing to create a stronger, more resilient grid that will be the backbone of a cleaner energy future. We're making good progress in our rate cases. Starting with New York, we continue to advance on our settlement negotiation and expect rates to be effective as of April 22, with a make-whole provision recently approved by the commission. In May, we reached an agreement with [indiscernible] to enter into settle negotiations in March. We expect CMP's new rates to be effective in August. In Connecticut, we completed the billing shares hearings and briefings are currently ongoing. For UI, we expect new rates will be effective in September. And in Massachusetts, new rates are already authorized and came into effect at the start of the year. While we work to bring new rate plans in to effect across our remaining states, we continue to drive a focus on operational excellence. We have planned or launched several transformative multiyear investments that will modernize our operations and provide improved service to our customers. This includes $2.25 billion in approved Phase II CLCPA transmission investments, bringing the total transmission opportunities in New York between 2025 to over $3 billion plus the deployment of 1.9 million smart meters across our New York service territories. These meters will be essential to provide our customers with better access to data and insights to help manage costs. Additionally, we are accelerating the digitalization of our customer experience. Today, more than 42% of our customers utilize e-bills compared with under 30% in 2020. Over at the same time, we increased use of our mobile app by a factor of 15 and outage alerts by a factor of 6. All of this help us to reduce cost to customers, improve cash flow and reduce coal volumes while improving customer satisfaction. We have had some issues with customer service, and that is important to recognize. But we are taking action to address those issues and in the last four months we're getting back on track. We have worked to overcome pandemic-related staffing challenges and since October have hired nearly 250 new customer service representatives and billing specialists. At our New York companies, customer escalation rates have fallen considerably and calls are being answered more quickly. And in May, we continue to meet or exceed every customer metric. I'm very proud of our team's commitment to our customers and to continuous improvement and the results we have delivered so far. Let's turn to our Renewable business on Slide 8. We have increased our strong capacity to 8.6 GW, including 205 MW from our Montague solar project recently commissioned. In total, we have an additional 1.7 GW of capacity under construction, supporting the delivery of our long-term plan. This includes around 800 MW of solar, 100 MW of onshore wind and 806 MW of offshore wind. Panel supply for all solar projects under construction has been secured. Additionally, we are focused on building relationships that support our continued growth and drive operational excellence. In the first quarter, we executed a new PPA for our 321 MW True North solar project and successfully renegotiated an existing 203 MW PPA for Power Tree. In total, we have renegotiated nearly 1 gigawatt of PPAs over the last year, which has helped to address a challenging macroeconomic environment and keep planned growth on track. Furthermore, we have recently joined the California ISO’s -- CAISO’s Western Energy Imbalance Market as its first generation-only entity. Our participation in the market will create operational efficiencies by supporting more cost-effective resource balancing and enabling sales of excess power. Turning to our Offshore business. Our team continues to make excellent progress on the construction of our landmark Vineyard Wind 1 project. This month, we received the type certificate for our turbines, initiating the 60-day period for volume approval to begin the installation campaign. We plan to install the project's first monopile during the second quarter. Regarding our New England projects, they're progressing development to achieve the record position and recently completed the geotech survey. In parallel, we're continuing PPA discussions with the stakeholders in Massachusetts and Connecticut, seeking the best way forward for these projects to help deliver the ambitious climate goals in both states. Above all else, the future of U.S. clean energy looks bright. The inflation Reduction Act unlocks transformative incentives and significant untapped value for renewable development. While we are awaiting guidance on its implementation, we believe the IRA provides a long and visible runway for investment. In response to this historic opportunity, we are planning to accelerate growth across renewable technologies and hydrogen and beyond our long-term outlook. Turning now to Slide 9. At Avangrid, we believe being a true sustainable leader requires transparent disclosures, consistent reporting and sign best targets. Last week, we released our 2022 Sustainability Report, which demonstrates the strong progress we have made towards achieving our key environmental, social, governance and financial goals. On this slide, we have highlighted several of our key metrics. As you can see, we are performing very well in our major environmental and social commitments, and we remain well on track to reach our 2025 goals. We are also proud that our leadership has been consistently recognized and validated by external parties. In 2023, Avangrid was named one of the Ethisphere's World's Most Ethical Companies for the fourth consecutive year, one of just nine utilities and energy companies to receive the honor. We are also listed as one of the Just 100 for the third time consecutive year, number one in the environment category, and we joined Bloomberg's Gender Quality Index. As part of the Iberdrola group, our ESG+F commitments are a fundamental part of our company strategy ambition. For more than two decades, Iberdrola and Avangrid have anticipated the transition to a more sustainable energy model and have invested substantially to accelerate that transition. We're raising the bar with clear and ambitious goals, including achieving Scopes one and two carbon neutrality by 2030, and we'll continue to build on these commitments to create value for customers, communities, shareholders and other stakeholders. Now I'd like to hand the call to Patricia to provide more details on our financial results.
Patricia Cosgel: Thank you, Pedro. Good morning, everyone. Turning to our earnings performance. For the first quarter of 2023, our EPS was $0.63 compared to $1.15 in the first quarter of 2022, and our adjusted EPS was $0.64 compared to $1.16 in the first quarter of 2022. Our year-over-year performance largely reflects the absence of the $0.47 gains recorded in 2022 which was related to the restructuring of our offshore wind leases in New England giving us 100% control over the Park City Wind and Commonwealth Wind project.  Absent this gain, our operating performance in the Renewables business was strong, supported by increases in renewable production in our Klamath thermal plant. You can see this in our Renewables adjusted EBITDA with tax credits which improved $182 million, a 15% increase compared to the same period last year. While our Network business was impacted by higher costs in various areas, we anticipate improvement later in the year with the implementation of our pending rate cases that will capture the cost of the businesses and investments that have supported safety, reliability and resiliency. The next slide summarizes the results and the key drivers for our business segment. For the first quarter, Networks results were $0.51, lower by $0.15 quarter-over-quarter compared to the first quarter of 2022. In the first quarter of this year, we benefited from rate changes mainly due to the implementation of our rate plans in New York. The joint utility arrearages order in New York resulted in about a $0.05 benefit to adjusted EPS, which was offset by higher uncollectibles mainly in New York.  Although with the winter moratorium now concluded, we have commenced collections. Additionally, we had higher costs year-over-year to implement our investment plans and operate the businesses, including O&M, depreciation, interest costs and taxes. O&M includes the absence of a $0.02 benefit from the true-up of carrying charges at one of our utilities in the first quarter of 2022. And in 2023, the remaining $0.04 includes $0.01 for overtime related to additional storm activity in the quarter and $0.03 for normal cost of the business. The higher depreciation of $0.02 reflects assets placed in service, and taxes reflect $0.03 related to the previously discussed first quarter 2022 benefit of onetime adjustments in utility valuation allowances, with the other half related to normal tax expense and timing. Finally, finance costs are higher year-over-year, reflecting higher interest rates and short-term debt balances but are in line with our expectations year-to-date. Importantly, and not unexpectedly, our cost and investment needs supports the pending rate case proposals for our utilities in the three states which will update these costs of the businesses. In our Renewables segment, we reported $0.13 a share, lower by $0.41 quarter-over-quarter. This primarily reflected the absence of the $0.47 gain recorded in 2022 from the offshore wind restructuring in that quarter. Excluding that, Renewables had solid earnings performance period-over-period. Improved wind and solar operating performance, which includes the impact of pricing, production and tax benefits explained $0.02 of the quarter-over-quarter improvement, and we also had higher earnings from our Klamath thermal operations and asset management that increased by $0.10. This was due to wider spark spreads quarter-over-quarter compared to the first quarter of 2022 as a result of the demand and supply factors of cold weather and scarcity in the Pacific Northwest.  More specifically, the scarcity is due to the retirement of dispatchable generation and an increase in variable generation in the region. Klamath is strategically positioned on the California-Oregon border with the ability to source gas from both the south and the north, making it less prone to pipeline disruptions versus other plants in the area. Klamath also has long-term transmission contracts to move the power to the Pacific Northwest economically. Finally, we also wanted to point out that we have planned maintenance in the second quarter for our Klamath thermal plant, which is scheduled to conclude by mid-July. These positive renewable performance and thermal impacts were reduced by higher O&M costs of $0.04, explained by growth in the business, primarily for offshore development, as well as maintenance costs and higher personnel-related costs. Corporate costs reflected an increase of $0.04 quarter-over-quarter primarily due to timing as we balance to our annual expected tax rate. Moving now to the next slide. We are affirming our 2023 outlook ranges for EPS of $1.90 to $2.10 and adjusted EPS of $2.20 to $2.35. Our ongoing focus remains on achieving these targets as we execute our plan with discipline and a risk management focus. We also provide our expectations of opportunities and risks through the remainder of 2023 versus our outlook expectations. This includes the implementation of new rates in New York, Connecticut and Maine as a result of our pending rate cases and the merger with PNM which we had previously indicated was approximately $0.30 a share, along with the approximately $4.3 billion of debt at the parent level to close the merger transaction.  We call it transaction was financed primarily with $221 million with $4 billion of equity. Additionally, the opportunities and risks include renewables production and pricing, other regulatory adjustments, NECEC, thermal and asset management results, taxes, interest, O&M, uncollectibles and our asset rotation program. And finally, today, we're also reaffirming our 6% to 7% CAGR in our adjusted EPS through 2025, off a base that is the midpoint of our 2022 guidance. Moving on to updates to our financing, liquidity, dividends and credit ratings on the next slide. As we noted on our Investor Day, our organic capital expenditures for 2023 are expected to be $3 billion inclusive of approximately $4 billion for PNM Resources. In the first quarter, we have invested approximately $836 million of those investments. Cash and liquidity are key priorities, supported by our ongoing cash from operations, debt at the utility level and tax equity financing and tax credit transferability to finance the PNM merger closing which we have -- and we have used -- we have used -- we issued equity. And just to remind everyone, we issued equity in 2021 to finance the PNM Resource merger closing, which we have used to fund the capital investments in our Networks and Renewables business, relieving our need to raise capital at the parent level. At the end of the first quarter, we had $7.2 billion of liquidity, covering 13 months, and this includes the $4.3 billion commitment letter from Iberdrola that backs up the merger. During the quarter, we closed on the funding of tax equity for our Lund Hill solar project, and we are evaluating our options for tax credit transferability pending IRS guidance which provides an additional source of cash for the PTCs that we have retained in lieu of tax equity for certain operating projects.  We are also evaluating all options potentially available from the IRA. Again, pending guidance, we're using PTCs versus ITCs, additional credits related to domestic content for specific and specific energy communities and hydrogen investments as well as potential federal funding available through the infrastructure investment and Jobs Act and the IRA. Maintaining our solid credit ratings is a key objective. At the Avangrid level, all of our ratings are on stable outlook. And finally, our dividend policy remains unchanged, targeting a payout of 65% to 75%. Our Board recently declared a quarterly dividend of $0.44 a share payable on July 3. In summary, we have started the year focused on continuing to execute our long-term financial plan. We remain targeted on improving execution and maximizing our earnings growth opportunities, demonstrating successes through our businesses that are not only short-term achievements but will have long-term positive impact. Thank you for joining us today for our financial update. I will now hand the call back to our operator, Adam, for questions followed by closing remarks from Pedro.
Operator: [Operator Instructions] And our first question today comes from Richard Sunderland from JPMorgan. Please go ahead. Your line is now open.
Richard Sunderland: Hi, good morning and thank you for the time today. Appreciate the updates across the business and wanted to start with NECEC given the recent court success. What are the remaining hurdles here to restart in construction? And when will you have clarity both on the start timing and the in-service date?
Pedro Azagra: I think let me start, and I will allow Catherine to comment on the construction angle. I think let's all keep in mind that still, we have a decision that has just happened, so we are evaluating right now the next legal steps, if any, which I think we need to conclude in the upcoming weeks. And I think there, we'll be in a much better position to give a definitive answer. But I think, Catherine, perhaps you want to comment on that.
Catherine Stempien: Sure. Thanks, Pedro. And thanks for the question, Richard. To reiterate what Pedro said, we're really pleased and excited about the results of the unanimous decision by the jury. Now if you remember, we haven't been constructing for quite a long time. So, while we work through the remaining legal issues, which include a potential appeal period, we also have permits at issue that we're looking at. We've also been keeping our partners, meaning our contractors, the EDCs in Massachusetts, our partner Hydro-Quebec, all up to speed and talking with them about what needs to happen next in order to restore construction on this project. So, we'll be working over that over the next few weeks and months. And I expect that we'll have more information in midyear about what the new construction time line will be. But as I said, we're excited about the project. We still think it's the best project to build for -- connect for New England in order to help Massachusetts, Maine and all of New England meet its clean energy future, and we're excited to restart construction.
Richard Sunderland: Got it. Thank you. Very helpful details there. Maybe turning to Park City and Commonwealth and offshore overall. How are you thinking about the progress there in your discussions around improving returns? Is the outlook for Kitty Hawk in terms of monetization, is that still screening as an attractive opportunity? Back again on Park City, Commonwealth any idea on when you might have a more detailed update there?
Pedro Azagra: I think on the Kitty Hawk, we continue to seek, as you know, asset rotation alternatives. So, from that point of view, yes, we continue to work on that. I think on the Park City and Commonwealth, we've always been very transparent and going to the public saying that the numbers were well beyond where is acceptable.  I think, as you know, in the case of Massachusetts, we already defaulted in one of the steps that in the contract had. I think we're working with both the states and the different parties involved to seek a final resolution to this matter. And I think we will also be able to clarify this in the upcoming weeks and months.
Operator: The next question comes from Michael Sullivan from Wolfe Research. Michael please go ahead. Your line is now open.
Michael Sullivan: Hi, everyone. Good morning. Just wanted to check in on the PNM process and how realistic is reaching conclusion by the extended date of July at this point? And maybe if we could get a sense, I think it's been alluded to in the past, like a modified merger stipulation being put forth relative to the original one you had a couple of years ago. If maybe at a high level you could just talk to how that may have changed.
Pedro Azagra: Yes. I think at this stage, also, as you know, we are at the Supreme Court, and we have requested the Supreme Court to rule to remand it to the public commission. I think what we need to do right now is just wait for the Supreme Court to take its decision. And if the decision is to remand it to the public commission, then a schedule, a time table will be requested to the public commission and they will take the decision that is scheduled. I think that will give us all clarity on that timetable. I think right now, we need to be prudent and silent and just let the Supreme Court to do, to take the decision the macro to take. And then once it's back in the public commission, I think we'll be able to have clarity on the timetable.
Michael Sullivan: Okay. And what are the options in terms of extending beyond that July date if the court or commission time line extends beyond that?
Pedro Azagra: I think -- we don't think it's the right time to comment on that. Let's wait to see what time table the public commission approves and I think we will have to react to that. Let's go step by step. I think we are on the right track in our opinion just to pull back on the public commission on the topic and then discuss our case. So, let's just wait for the public commission to take it for this rec first and the public commission afterwards in terms of timetable. I think that's the moment to react.
Michael Sullivan: Okay. Understood. And then just shifting to New York. You talked about these CLCPA approvals and the transmission opportunity. Does any of that factor into the pending rate case at all? And if so, how?
Pedro Azagra: I think in the rate case, it's only CLCPA 1, so we don't have CLCPA 2. And that's part of the discussions we're having right now. I think -- let's keep in mind that in New York, I'd like everybody to understand, we have the rate case, but we have other discussions as well. So, I think there are going to be many things we're working with the public commission to improve cash availability for the companies, to have certainty on when the returns are going to happen on those assets. But it's only CLCP1, CLCPA1, which is in the rate case, not CLCPA2.
Michael Sullivan: Okay. So, should we think of that as like that's kind of a known thing within the case and then there's other items contributing to the rate request outside of that?
Catherine Stempien: Yes. So, let's take a step back. We've got a total under CLCPA about $3.4 billion worth of investment to be made through 2030. That split up into two phases: Phase 1, which is in the rate case; and Phase 2, which is outside of the rate case. The rate case encompasses both Phase 1 investments, and it covers additional investments that we need to make for the resiliency and the performance of our system. So, all of that together, Phase 1 and those resiliency investments, are being considered in the rate case and in a hopeful settlement.
Michael Sullivan: Okay. Thank you.
Operator: The next question comes from David Arcaro from Morgan Stanley. David please go ahead. Your line is now open.
David Arcaro: Thanks, so much for taking my question. I was wondering if you could give your latest views on the demand backdrop for new PPA signings. It was encouraging to see the new contracts that you got in place this quarter. What are you seeing in terms of renewables demand? And do you have a target in mind for what we might expect in terms of additions to the backlog this year?
Pedro Azagra: I'll let Jose Antonio to answer the question. I'm very pleased with the work we've been doing in the last nine months with the team, cleaning up a lot of things, fixing issues that we had, that's why those 500 MW plus that we have announced in terms of PPAs, I'm very pleased about that. We are back on the table to do profitable and long-term investments in renewables. I'm also pleased about renegotiations in leases. So, we're doing a lot of things. I think we'll come back in the coming months with our revised business plan going forward for the Renewables business. And I think we are back on the table with nice growth ahead of us. So please, Jose Antonio.
Jose Antonio : Thank you, Pedro. Good morning, David. Yes, as Pedro is saying, we see a quite important traction in terms of demand for renewable power, and we are very glad to have been able to sign this PPA with Meta. It's a great contract, 320 MW there current in Texas, Inc and ERCOT. And also, we have successfully renegotiated power creek and recognizing that prices are different and the time of COD has to be adjusted to the new supply chain situation, so I think that we are making progress on that end. About the backlog and what could be the evolution, what I can say is that we have a healthy pipeline, and we have projects that are -- we are working now very intensively to be able to push them through our FID process, always with a lot of rigor, always very prudent, as Pedro has commented before. And we are in the good track so far to accomplish and to deliver what we promised in the Capital Market Day for '23 and '24.
David Arcaro: Okay. Great. And I was wondering if you could give an update on the solar supply chain and your ability to secure panels to execute on the construction plan for this year. And also, just how you're thinking about domestic supply of solar panels, too.
Jose Antonio: Yes. So first of all, all our contracts that are under construction, they have already been supplying the panel secured. So, this is something that is a must for us. As we always say, we are very prudent, and we don't enter into PPAs and contracts if we don't have the supply chain secured. So, all the panels are secured. Yes, in terms of the difficulty of getting panels, it's true that the market is struggling with that. We are lucky because we are fortunate to be part of Iberdrola Group and to have the possibilities to lever our position with the suppliers. And about the situation with the Uyghur Forced Labor Act, still, we see that the CPB and the suppliers, the panel suppliers, they are discussing about exactly what are the documents and papers that they need in order to be sure that there is, of course, no labor force used in the panels. But I think that in the last weeks, in the last months, we have seen a lot of progress on the understanding of what the documents must be and what information has to be delivered. So hopefully, we will see possible in the next month’s how in the industry these panels are starting to being released across the border.
Pedro Azagra: I think if we can comment on the supply chain in general, I think probably being part of Iberdrola has allowed us in the transformers side to benefit from our presence and connections in Brazil to help that to us here in the U.S. business. I think the presence that we have right now doing projects in Germany, in the U.K. and in France, in offshore wind, it's allowing us also to have the right conversations for our construction project being built right now.  I think that's a benefit and something that allows us to be comfortable for the future. There may be issues in the supply chain, yes, but I think we're very well positioned to try to be ahead of almost anybody on getting advantage of the opportunities that we have here.
Operator: The next question is from Julien Dumoulin-Smith from Bank of America. Julien your line is open. Please go ahead.
Julien Dumoulin-Smith: So, just first on Klamath there in the West. Nicely done on the outperformance there with the $0.10. Just wanted to understand, is that contemplated in your guidance here? Or is that actually upside when you think about your FY '23 guidance range? Or are there other offsets like the planned maintenance that you described in the second quarter here?
Patricia Cosgel: So, the maintenance is scheduled, so it's known and planned. So that's not unexpected. The Klamath is within the guidance range. And that's why we give a range for a plus or minus and then it could be. We'll see what happens for the rest of the year.
Julien Dumoulin-Smith: Got it. Okay. Fair enough. So that's -- at least that's incorporated within your guidance as it stands today. All right. And then related here, on the utility side, obviously, some O&M pressures here in the first quarter. Just want to come back to full year expectations on the Networks side. When you think about the pressures that you've seen year-to-date, do you still see earnings increasing on a year-over-year basis versus '22 here? And what are some of the other offsets to the extent which that you see that still materializing?
Pedro Azagra: If I can comment on both, and then Catherine and Patricia, you can also complement. I think on networks and in renewables, I'm very pleased on the first quarter how we have been basically delivering according to our internal expectations. So, I'm very pleased there. I think you mentioned O&M and Patricia mentioned interest cost, I think I'm very pleased we don't have any material deviations from where we would like to be, and we have taken actions to compensate some things that we're deviating. So, I'm very pleased there. I think on the guidance, right now, as you can see, we have several items, and we had that last year as well, that are going to be critical rate cases. We're going to have PNM, we're going to have the offshore wind -- the offshore projects, I think we're going to have the transmission line NECEC. I think that's going to clarify in the next two, three months, most of them. So that's why we're very close to having a clear path in those items that we will allow us to narrow that range that we gave to you last year and be more accurate. Catherine, if you want to comment.
Catherine Stempien: Yes. Thank you, Pedro. Just to add a little bit on to that. If you listen to Patricia go through the quarter-over-quarter performance, there were some nonrecurring issues in last year, those carrying charges as well as the tax benefit. So those were unrecurring. When you look at the core business of Networks, we do have some increased costs, but that's the exact reason why we're in rate cases. So, all of those increased cost, depreciation, O&M, storm costs, we anticipate that those will be resolved through our rate cases. And the performance of the system continues to be very strong despite increased storms, so we are flat to increasing our performance on safety metrics and [indiscernible] metrics despite the fact that quarter-to-quarter 13% increased number in storms. Again, those storm costs are going to be reflected in the cases as we resolve them throughout the year. So, we're pleased with the performance of Networks, and we're anticipating the results of the rate cases to impact our earnings through the rest of the year.
Pedro Azagra: And if I can give an example on how pleased I am with the work the teams are doing is customer service. And let's focus on New York. I think we had more than 20% attrition, and many reasons why people either -- they prefer not to continue working or they prefer to move to other companies during the pandemic and right after that. I think we had still, unfortunately, in part of New York, meter readers. So, we have to go and read the meters at home. And you know for a period of time, we were not given the access. And you know there has been a such increase in the supply part of the build total and related to us. When you see those factors and I see the actions we have taken in two, three, four months, I'm very pleased. And this is exactly what we're supposed to be doing. So that's are the examples that I think we need to continue doing. No reacting, anticipating issue, just fixing them very quickly. So, I'm very happy for those efforts.
Julien Dumoulin-Smith: Got it. So, it sounds like as you get offshore clarity NECEC -- oh, sorry, go for it.
Patricia Cosgel: Sorry, Julien. I just wanted to add a couple of additional points. As I mentioned, for example, that we had rising on collectibles, but we had a benefit of our averages order that offset that in the period. And it's also important to note that we are -- we've completed the moratorium, the winter moratorium in New York and we have started the collections process. So that kind of helps us going forward as we move into the pending rate cases outgoing. I also mentioned on Renewables, because we had rising O&M., but I think this is to Pedro's point that the businesses are operating well, and we will expect to see additional cost as we grow the business. So, a lot of this is development, it's origination costs as we grow the business. It's also rewards for strong origination in the business that are reflected in the O&M.
Julien Dumoulin-Smith: Got it. And it sounds like an update maybe in the next two, three months by second quarter, you guys are in a position to narrow that guidance.
Pedro Azagra: Yes.
Julien Dumoulin-Smith: Awesome. And then just if I can super quickly, just to clarify the prior question here. It looks like the solar pipeline moderated a little bit here, especially on the solar side quarter-over-quarter. Can you comment about why that might be? Is that a function of forward curves pulling back here and just the opportunity? Or just what are you seeing out there? I'm very curious.
Pedro Azagra: Let me ask a little bit more going forward. And I think Jose Antonio, you can answer specifically right now. Going forward, I think it's the other way around, Julien. I think we are actually putting the right team right now to continue to focus on growth. And our expectation is, as you know, in Renewables, there is not that much you can do in the next one or two years because that's already something you have. I'm very comfortable we're going to deliver in those one or two years. But our expectation is when you go beyond that, to increase -- the actual megawatts we're going to be developing. I think just to comment on those specific items. I think probably we avoided $40 million, $50 million on penalties when we were building assets in the last 12 months by renegotiating the contracts. I think we're extending the leases and signing additional leases that allow us to be positioned for the future. So, it seems to me that we have done things that probably are not in the public domain but allows us to be in a much better position than we were a year ago. And I think the growth, more than happy to update in upcoming months because we're going to have further growth in the future and especially three years from now. But I think Jose Antonio, you want to comment on the current one.
Jose Antonio: Thank you, Pedro. I’m Jose, Julien, our solar pipeline now stands at about 13,000 MW, 13 GW of solar. And we have put in place something that is important when you are developing because the figures are important, but the most important thing is the health of the pipeline. So, we want to have a pipeline that is really healthy. And we put in place recently a program of what we call early retention of fatal flow -- so we want to be sure that the pipeline that is here is healthy. And when we see something that in a very early stage is leading us to think that the project could not be profitable in the future, then we prefer to just get it out of the pile. So, the reflection of this small drop is because we are putting this system in place to be sure that only we invest in growing the pipeline that we have certainty that will be profitable for us.
Pedro Azagra: And in the last 12 months, we were asked several times if we were exiting the business, so we were stopping the development. I think we made it clear no, we're fixing some things that we had and strengthening the team and the projections going forward. And you know that we like to deliver. I think we have delivered now with more than 500 MW. I think more to come. But I think the idea right now is to focus on being very, very clear on the next three years of exactly what assets we have where and when and then working already in two, three years from now because that's what we can focus on right now.
Operator: The next question comes from Angie Storozynski from Seaport Research Partners. Angie your line is open. Please go ahead.
Angie Storozynski: Thank you. So, I wanted to ask about the Connecticut rate case. We've heard some public comments from our President or Chairman, Chairwoman that sounded really scary and highly punitive for utilities in the state of Connecticut. So, you are in the midst of your rate case on the electric side. The first one, when she can demonstrate stands. So that is concerning. And on top of that, we have [indiscernible] has just issued a decision in its performance-based rate making. And I'm not sure actually if it will impact the current rate case. But just talk to us, please, how you feel about this pending rate case.
Pedro Azagra: Let me perhaps answer first, and Catherine, you can complement. The first one is, we said this nine months ago when we started this team working on everything. Our first obligation is to have relationships, to be on top of things, to know everybody. I think I'm very pleased. We're working very well with the governor and his team. We're working very well with the Department of Energy. We're working very well with the AG. And from that point of view, that's what we have to continue, okay, building relationships. I think the legislature, we've been with them working on a proposed gelation that has been put on the table right now, we just need to continue. I don't think we have results in a month, but I think once we have reinitiated or started many of those relationships, I think after six, nine months, I'm very pleased that we have the dialed access to everybody. Second, I think we're very committed to Connecticut. We don't like to comment on other rate cases. We don't like to comment on public commission commissioners. I think we are very pleased on our case. We believe we have a strong case and we can defend that. The governor was having already for two years working on this incentive-based performance, nothing new. I think we are happy if we move in that direction as other places in the U.S.  And I think in our case, we like to focus on presenting things with no mistakes, making sure that we don't make any mistake to be blamed to us. And I think we're working now on this rate case, and we're also working on many other things. We have offshore projects going on. We have many other matters that we're working with the administration. So, we just need to continue working with them. Catherine?
Catherine Stempien: Yes. I'll just add, Angie, just a little bit of context around the Connecticut rate case. So as Patricia said, we don't anticipate rates are going into effect until later in kind of fourth quarter. So, they don't have a material impact on this year's results. But in terms of an update, we have brief going in this week from all parties. As you may recall, we had our hearings that took place last month, about 17 days’ worth of hearings. And I believe our team performed really well in those hearings, and we'll be following that up with briefing, reply briefing it and then it will go to the authority. So, we believe we put on a strong case, and we look forward to working through the results. 
Angie Storozynski: Okay. Okay. And then separately on the P&M transaction, I understand that we're waiting for the Supreme Court to respond to the request to remand the case back to the commission. I mean the time line of the merger has been expanded quite considerably. We're in a completely a different interest rate environment right now, also different valuations of utility stocks. How do you see this pending merger, its potential accretion? How are you going to finance it? And yes, I know you issued equity for it. But just talk to us about the appeal of this transaction given this different financing backdrop.
Pedro Azagra: First of all, I can remember that as we did at the group level in a couple of other big transactions, we were very prudent and that's why we did a capital increase 1.5 years ago. So, from that point of view, from an accretion point of view, the calculation has to be done based on that capital increase being done. Now it's true that because of the additional capital expenditure we have done in the last 18 months, part of that has been used. But I think for purposes of that capital increase, the main reason was PNM. So, I think that was how we were calculating the accretion. I think in terms of the interest, we remain committed. I think one of the important things for us, we're not speculative financial investors that buy some sales in a second. We are long term and the value of a utility is long term. I think to have not just one year of interest rates going up or one year of interest rates going down, I think that has changed the appetite.  We believe we did a transaction with a very good presentation from a value point of view. I think PNM has been delivering. Earnings is actually better than they were expecting. So, there is no change in the appetite. And remember, I think utilities and networks is a very scarce resource that everybody would love to own. We have a great partnership relationship’s in New Mexico. And do we need to be patient? Yes, these -- the people, they have failed three, four, five times doing deals.  I think in our case, we have a good track record of getting it done and especially because we deliver what we promise and we spent a lot of time and effort in the local communities and with the local decision-makers. So, from that point of view, I would love this to have been differently, but this is what it is and we just need to be patient.
Operator: [Operator Instructions] As we have no further questions, I'll hand the call back to Pedro Azagra for final remarks.
Pedro Azagra : Thank you again for joining us for our first quarter earnings call. As we closed the quarter, our team is focused on the path forward and on delivering our commitments to execution, growth and value creation. Our clean, connected and growing regulated business represents an attractive investment opportunity at the center of the energy transition. Here, we're working toward a constructive resolution of our rate cases; balancing cash flow, earnings and customer affordability, progress on NECEC following the positive court ruling; and the successful completion of our PNM Resources merger. On top of that, our Renewables business provides additional opportunity through the continued expansion of our onshore footprint and the delivery of our offshore projects, including first power from Vineyard Wind 1 later this year. As we pursue each of these objectives, our efforts are guided by our core commitment to financial sustainability, including solid credit ratings and health liquidity. In summary, we believe that Avangrid has exceptional growth prospects in both the near- and long-term perspectives. Our planned investments of $21.5 billion through 2025 are strengthened by an environment that provides long-term and stable support for the expansion of renewable energy resources and clean infrastructure. By leveraging additional long-term growth opportunities like New York CLCPA and the IRA, we are confident Avangrid will continue to drive value for our customers and shareholders. We look forward to sharing our progress with you over the coming months and appreciate your continued support. If you have any other questions, please follow up with Alvaro and the IR team. Have a great day, and thank you very much.
Operator: This concludes today's call. Thank you very much for your attendance. You may now disconnect your lines.